Operator: Good morning, my name is Jeannie and I will be your conference operator today. At this time, I would like to welcome everyone to the Oil State's First Quarter 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Ellen Pennington, you may begin your conference.
Ellen Pennington : Good morning and welcome to Oil State's first quarter 2025 earnings conference call. Our call today will be led by our President and CEO, Cindy Taylor; Lloyd Hajdik, Oil State's Executive Vice President and Chief Financial Officer, and Scott Moses, our Executive Vice President and Chief Operating Officer. Before we begin, we would like to caution listeners regarding forward-looking statements. To the extent that our remarks today contain information other than historical information, please note that we are relying on the safe harbor protections afforded by federal law. No one should assume that any of these forward-looking statements remain valid later in the quarter or beyond. Any such remarks should be weighed in the context of the many factors that affect our business, including those risks disclosed in our 2024 Form 10-K, along with other recent SEC filings. This call is being webcast and can be accessed at Oil State's website. A replay of the conference call will be available two hours after the completion of this call and will continue to be available for 12 months. I will now turn the call over to Cindy.
Cindy Taylor : Thank you, Ellen. Good morning and thank you for joining our conference call today where we will discuss our first quarter 2025 results and provide our thoughts on market trends in addition to discussing our company-specific outlook. In connection with our fourth quarter 2024 earnings conference call, we provided financial guidance ranges for the first quarter and full year 2025. We specifically guided the first quarter 2025 revenues of $160 million to $170 million, with EBITDA expected to range from $17.5 to $18.5 million. I am pleased to report that both ranges were met or exceeded during the quarter due to strength in our international offerings, along with benefits of our 2024 U.S. land-based optimization efforts and a strong recovery in our Gulf of America operations. We witnessed ongoing demand in our international and offshore regions with very strong bookings that totaled $136 million, leading to our highest level of backlog since September 2015 with a book-to-bill ratio of 1.5 times for the quarter. We have historically reported negative cash flow from operations during the first quarter of the year due to seasonal working capital trends. However, we reversed that trend this quarter by generating $9 million of cash flow from operations. We also received proceeds of $9 million from the monetization of equipment and inventory. These cash flows were used during the quarter largely to fund CapEx and $5 million of share repurchases. Despite good operating results for the quarter in April, Oil States stock price suffered material decline stemming from the announcement and imposition of broad-based tariffs by the United States on our global trading partners. These actions have created uncertainty in the market both in terms of individual company impacts along with the risk of broader economic consequences, including the heightened possibility of a recession. These concerns, along with planned increases in OPEC+ oil production levels, negatively impacted global crude oil prices, which declined significantly in April. Given this backdrop, we believe it is prudent to provide more granular information on Oil States strategic sourcing of goods and materials to aid the market in assessing potential impacts of U.S. tariffs on our operations. As a reminder, Oil States benefit from significant global diversification with broad-based operations outside the United States in essentially every major offshore oil and gas basin. In addition, a significant portion of the capital equipment which we manufacture in the United States is exported to other countries. We anticipate that a significant portion of the company's operations outside of the United States should remain relatively unaffected by the implementation of these tariffs. In our domestic operations, we have limited reliance on imported goods, which are primarily used in our downhole technology segment. We have implemented a series of strategic actions to assess and mitigate where possible negative tariff impacts, including the use of temporary import bonds for key imported materials, shifting to alternate sources of supply, optimizing our supply chain to secure the most favorable treatment of imports, leveraging existing domestic supply chains, and when necessary, adjusting pricing to our customers. Oil States imports products from foreign sources, including key raw materials and component parts, such as steel forgings and perforating gun steel tubing and other components. The vast majority of our forgings come to the United States under temporary import bonds, which are free of tariffs given their re-export following U.S. manufacturing. Tariffs on imported steel tubing and other components used in the manufacture of perforating systems are expected to increase our completed gun costs. Our analysis has shown that other suppliers of perforating systems utilize similar supply chain sources and are likely to be subject to similar tariffs. As a result, we expect that these cost increases can be passed on to customers. We remain dedicated to growing our operations and strategically investing in our most profitable business areas supported by advanced technologies. We will also continue to focus on the return of cash to our stockholders. Lloyd will now review our operating results along with our financial position in more detail.
Lloyd Hajdik : Thanks, Cindy, and good morning, everyone. During the first quarter, we generated revenues of $160 million and adjusted consolidated EBITDA of $19 million. Our adjusted net income totaled $4 million or $0.06 per share after excluding facility exit charges of $1 million. Our offshore manufactured product segment generated revenues of $93 million and adjusted segment EBITDA of $18 million in the first quarter. Adjusted segment EBITDA margin was 19% in the first quarter compared to 23% in the fourth quarter. In our completion and production services segment, we generated revenues of $35 million and adjusted segment EBITDA of $9 million in the first quarter. Adjusted segment EBITDA excluded facility exit charges totaling $1 million. Adjusted segment EBITDA margin was 25% in the first quarter compared to 12% in the fourth quarter, reflecting significantly higher activity in the Gulf of America and a continued focus on cost reduction. In our downhole technology segment, we generated revenues of $33 million and $2 million of adjusted segment EBITDA in the first quarter. As Cindy mentioned earlier, we generated $9 million of cash flow from operations and received $9 million of proceeds from asset sales. Our cash flows were used to fund $9 million of CapEx and $5 million of share repurchases. Of the quarterly CapEx spending, $3 million was associated with our new Batam, Indonesia facility. Our cash flows from operations is expected to range between $65 million and $75 million for the full year and planned CapEx is expected to total $25 million. Given the expected strong free cash flow generation, we plan to be very opportunistic regarding share repurchases given our currently low stock price. Now, Cindy will offer some market outlook and concluding comments.
Cindy Taylor : Despite recent economic volatility and the prospect of higher tariffs, we continue to see strong demand for our offshore and international products and services, which has led to our highest level of backlog in a decade. Given that the majority of our offshore manufactured products backlog consists of projects outside the United States, we anticipate that the import of key raw materials will largely be unaffected by potential new tariffs. Although domestic market conditions and activity levels could come under pressure during 2025 due to weaker crude oil prices, we expect our results and profitability to hold up reasonably well given a solid offshore and international outlook combined with margin improvement across our U.S. land-driven businesses given the actions undertaken in 2024. During our fourth quarter 2024 earnings conference call, we provided revenue guidance for the full year 2025 of $700 million to $735 million and full year EBITDA guidance in a range between $88 million and $93 million. Based upon our strong bookings in the first quarter, improved completion and production services margins, and information we know about market conditions today, we are not changing our annual guidance. Our guidance for the upcoming quarter suggests revenue will be generated in a range of $170 million to $180 million with EBITDA ranging from $20 to $22 million. Our low net debt levels and robust free cash flow provides investors with an attractive opportunity for stock ownership in a company with peer-leading free cash flow yields. Our capital allocation priorities are well defined. We plan to invest in organic growth opportunities, to fund research and development to sustain competitive advantages, to pay off our remaining debt, and to fund share repurchases. We aim to drive exceptional value for our customers and generate strong returns for our stockholders in the process.
Lloyd Hajdik: That completes our prepared remarks. Jeannie, would you open up the call for questions and answers at this time?
Operator: [Operator Instructions] Your first question comes from the line of Jim Rollyson with Raymond James. Please go ahead.
Jim Rollyson: Hey. Good morning, everyone, and congrats on a nice quarter, given everything going on.
Lloyd Hajdik: Thanks, Jim.
Jim Rollyson: Cindy, first of all, great bookings quarter, obviously leading to backlog being at the kind of cycle high, which is great, so congrats on that. As we've gone through earnings season so far, there's obviously a lot of uncertainty about how the rest of the year might play out, but one theme I've kind of heard recurring is longer cycle projects internationally and especially offshore seem to be proceeding. I'm just curious, I mean, you're coming off a great booking quarter, but in conversations with your customers at this stage, I'm curious what you all are seeing from a willingness to proceed with plans that were already in progress, given kind of what's happened on the macro, just maybe as we think about bookings over the course of the rest of the year?
Cindy Taylor : Thanks, Jim. It's a great question, and you've been doing this a long time, as I have. And typically development drilling programs that are milkier in nature don't depend on short-term movements up and down in the commodity price. And so I think this is a continuation of that theme, quite frankly and again, these are more development drilling programs that are decades long, if not, it's new exploratory programs. And again, it's always the short cycle weighted to U.S. shell that tends to be the quickest to flex up in a recovery and down in a softening. And so I think we're seeing that play out significantly as we go forward. Now, if I comment about our strong bookings. First of all, we're obviously thrilled to see that come early in the year, particularly in the first quarter. A lot of this really exemplifies what I'm talking about, which is the major subsea equipment production equipment that we offer the market, led by Brazil, they are the deepwater leader globally. And so that really benefited us in the quarter and will continue to benefit us throughout not only this year, but future years. And I'd say we are also beginning to see early benefits of the strategic investment we made in our new baton facility on our connector products. Again, that is a trend we expect to continue. And then other than that, we are expanding and broadening our service and refurb and repair business around a larger installed base that really is supported by our global operations. And so I think that gives you the color of not only the bookings we had, but are we getting positive around that. We added to a book-to-bill north of one in connection with our last quarter call. And I always say when you have a strong quarter like this, that guidance gets a lot more comfortable as we progress. And that would be on the back of higher revenues, which obviously implies greater year-over-year booking.
Jim Rollyson: Absolutely. I appreciate the color there. And maybe since you brought up the short cycle stuff. Your CPS business had a pretty remarkable sequential improvement. And I think you noted part of it was from the cost efforts you guys have been doing for a while now and then Gulf of America benefits. Maybe if you could parse out how the sequential impact was just between the cost side and the Gulf? And as we think about this going forward over the rest of the year, how sustainable our margins in that realm were better, and how are you seeing the Gulf unfold at this point?
Cindy Taylor : Well, I'll give some lead-off comments and ask Lloyd or Scott to pitch in with supplemental type feedback, but we came out of the hurricane season in the third quarter with lower Gulf revenues. And that perpetuated throughout the fourth quarter as well. So we were pleased to see some recovery in our Gulf operations. This is more differentiated, of course, with high-end technology that's out in the marketplace, and it tends to support higher margins as a result. And so I'll also tell you that part of our basic guidance will be dependent on upcoming activity in the Gulf, which we are seeing continuing today. So that's on a positive note. We have done, I think a good job throughout 2024 at making decisions around the product and service lines that we wanted to remain in and, importantly, allocate capital to, which you have to do in that business, CT&S. And so a lot of that was behind us, but there were still some fixed-cost things to get out of, i.e. leases and buildings, and you've got to relocate equipment from one basin to new basins. And so it's been ongoing. But I will tell you that throughout the first quarter, we're beginning to be on the downside of those types of efforts. I will say that our -- I think our CT&S margins for the quarter, if I remember correctly, let Lloyd correct me if not, were in the 25% range. And so they really did recover strongly. I won't guarantee that level, but our goals were obviously 20%-plus percent as we entered the year. So really pleased to see that improvement, not only in CT&S. We saw some also in downhole technologies. But I think if I look forward, it's very important to get all this transitional stuff behind us. It is, do either of the two want to add anything to that?
Lloyd Hajdik: Cindy, just confirm your comments about the Gulf being the major driver of the improvement quarter over quarter, Q1 over Q4, certainly, with the strong recovery we saw in the Gulf operations. We're looking kind of across the rest of the year. We expect that to continue. And to your point, yes, the EBITDA margin was about 25% in the first quarter, and we're targeting 20% or slightly above that for the full year for the segment.
Jim Rollyson: Got you. And if I could sneak one last quick one in, it's just your balance sheet is obviously in fantastic shape. And Lloyd, correct me if I'm wrong, but you're kind of targeting free cash flow conversion rates of 40%-plus. As you iterate free cash over the balance of the year, which is normally your better periods of time. How do you think about kind of the buckets of repurchasing shares that are even more depressed now than when you started the program versus maybe attacking a little bit more of the convert that's been below par and matures in April of next year versus just parking cash for a maybe slightly more uncertain environment?
Lloyd Hajdik: Yeah. So, yeah, I'll go ahead and take that first. So in terms of where the stock price is today, I would expect us to be opportunistic and fairly aggressive in share repurchases and with our free cash flow. I think the same question was asked on the February call. I don't think our investors want to be sitting on cash at this juncture with such a low stock price. To your point also, with the convert trading below, 3%-4% below par at 96 or 97, there is some opportunity there to try to buy some of those back in ahead of the April 1, 2026 maturity date. But I would say from a capital allocation priority, it's share repurchases and debt reduction leading into next year's maturity.
Jim Rollyson: Got you. Got it. Thanks very much, guys, for the call.
Cindy Taylor : Thanks, Jim.
Operator: [Operator Instructions] And your next question comes from the line of Sean Mitchell with Daniel Energy Partners. Please go ahead.
Sean Mitchell: Good morning, guys. Thanks for taking my question. Lloyd, maybe -- I know you mentioned – or you guys talked a little bit about the tariffs, maybe the potential impact. It sounds like it's minimal at this point from what you know today. Is it -- is there any way to handicap -- is that a 5% lower or is it 10% -- or 5% higher or 10% higher on cost? Have you done any kind of back of the envelope there?
Lloyd Hajdik: Well, we're working on that. I'd say it's probably in that range. I'm looking at Scott and he's nodding his head yes. And again, we mentioned on the conference call, it's really -- the impacts are really around in the downhole technology segment specifically to the perforating business with the importation of the gun steel components, end plates, subs, et cetera, that are other competitors in the space are importing essentially from the same sources. So us and our competitors will be looking at similar price increases or cost increases that all things being equal would adjust in our selling prices to our customers.
Sean Mitchell: Got it. And then, Cindy, maybe just -- yeah, go ahead.
Cindy Taylor : No, Sean, I just wanted to add, remember that the perforating side of our business is a smaller piece of the business in totality. And a lot of what we need to do is just focus on the big picture for the total company, not an individual segment. And we're not going to say we're not affected by these, but we are not seeing some of the material impacts that someone that is solely reliant on imports for equipment vested for U.S. use, right?
Sean Mitchell: Yeah. Okay. All right. I'll turn it back. Thanks, guys.
Operator: That concludes our Q&A session for today. I will now turn it back over to Cindy Taylor for closing remarks.
Cindy Taylor : Thanks to all of you for your ongoing interest in Oil States and the work that you do to understand the drivers of our business, especially in volatile industry periods. We look forward to future discussions as we execute our strategy. Take care, and I hope you have a good earnings season for the remainder. Bye-bye.
Operator: This concludes today's conference call. You may now disconnect.